Operator: Good day, and thank you for standing by. Welcome to the Q3 2024 Steve Madden Limited Earnings Conference Call. [Operator Instructions] After the speakers' presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Danielle McCoy, VP of Corporate Development and Investor Relations. Please go ahead.
Danielle McCoy: Thanks, Krista, and good morning, everyone. Thank you for joining our third quarter 2024 earnings call and webcast. Before we begin, I'd like to remind you that our remarks that follow, including answers to your questions, contain statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to materially differ from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we have described in our press release issued earlier today and filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. The financial results discussed on today's call are on an adjusted basis unless otherwise noted. A reconciliation to the most directly comparable GAAP financial measure and other associated disclosures are contained in our earnings release. Joining me on the call today is Ed Rosenfeld, Chairman and Chief Executive Officer; and Zine Mazouzi, Chief Financial Officer. With that, I'll turn the call over to Ed. Ed?
Edward Rosenfeld: Thanks, Danielle, and good morning, everyone, and thank you for joining us to review Steve Madden's third quarter 2024 earnings results. We delivered strong results in the third quarter with revenue and earnings exceeding expectations. This performance was driven by outstanding growth in the accessories and apparel categories, including another quarter of exceptional performance in Steve Madden handbags and a strong contribution from newly acquired Almost Famous and robust top line gains in international markets and direct-to-consumer channels, demonstrating our team's continued execution of our strategy for long-term growth. Within that strategy, our top priority is to win with product. This fall, we are successfully utilizing our proven model, which combines talented design teams led by Steve, a test and react strategy and an industry-leading speed-to-market capability to create trend-right product assortments across the footwear, accessories and apparel categories that are resonating with consumers. In footwear, we are seeing particular success with tall-shaft boots, soccer-inspired sneakers and Mary Janes. In handbags, our structured mini satchels and cross bodies remain strong, and we are also seeing robust demand for shoulder bags and small accessories and for on-trend materials like quilting and patchwork suede. And in Steve Madden apparel, we are offering our consumers the same of-the-moment on-trend styling that they are accustomed to getting from us in shoes and bags, and we're getting a great response to our interpretation of key trends, including animal print, [indiscernible] leather, suede, satin and denim. We are also supporting this great product with increased full funnel marketing investment. In our flagship Steve Madden brand, we kicked off the fall season with an integrated global marketing campaign called Never Miss A Beat. Featuring the iconic Deee-Lite song, Groove Is in the Heart, the campaign served as a love letter to our hometown of New York City. It featured cameos from NYC creators and cultural figures and came to life across our digital and social channels, direct mail, outdoor media and experiential activations in our retail stores around the world and it worked. The campaign drove positive impact throughout the consumer journey, including increased organic search for the Steve Madden brand, positive social sentiment and revenue gains. Together, this combination of outstanding product and effective marketing serves to deepen our connection with our consumers, which is the foundation of our strategy and the enabler for our 4 key business drivers. Our first key driver is expanding our business in international markets. International revenue grew 11% in the third quarter compared to the same period in the prior year and we remain on track to achieve mid-teens percentage revenue growth for the full year. The EMEA region continues to be the biggest driver of growth. We expect EMEA revenue to be up more than 20% in 2024. In Europe, we continue to outperform the competition and take share in a challenging retail market. We're also gaining traction with our new joint venture in the Middle East and expect to end the year with 33 stores in that region, up from 27 at the start of the year. And our JV in South Africa continues to drive exceptional brand heat and outstanding growth on the top and bottom lines. In our Americas region, we are on track for double-digit top line growth in 2024 with healthy gains in our directly owned subsidiaries in Canada and Mexico as well as the contribution from our new joint venture in Latin America, which is off to a strong start. Our second key business driver is growing our business outside of footwear. In the third quarter, overall accessories and apparel revenue rose 48% or 19%, excluding Almost Famous. Our Steve Madden handbag business was again the highlight with revenue increasing 27% in the quarter on top of 52% growth in the same period in the prior year. Steve Madden apparel also continues to gain traction. Revenue there is on pace to grow more than 20% in 2024 and we are well positioned for another year of strong growth in 2025 based on the robust sell-through performance at key wholesale customers year-to-date, which is resulting in plans for additional doors and expanded assortments going forward. Turning to Almost Famous. Our new acquisition contributed $41 million in revenue in the quarter. The launch of Madden Girl apparel at Kohl's for the back-to-school season was very successful with sell-through performance that outpaced the overall department and we are ahead of schedule in realizing operating margin improvement at the Almost Famous division overall. Our third key business driver is expanding our direct-to-consumer business led by digital. DTC revenue grew 8% in the third quarter, including a 5% increase on a comp basis. Our e-commerce business accelerated meaningfully beginning in July and grew revenue by 10% in the quarter. Brick-and-mortar revenue increased 6% for the quarter. We remain on track to achieve our plan of high single-digit growth in DTC for the year. Our fourth key business driver is strengthening our core U.S. wholesale footwear business. Revenue in this business declined 4% in the quarter. Our private label business remained strong, but growth slowed compared to the first half on tougher comparisons. Our branded business remained down as many of our wholesale customers pushed back deliveries of boots this year and continue to take a cautious approach to orders overall. Finally, a critical component of our strategy is advancing our corporate social responsibility objectives. We recently published our 2023 Sustainability Report, which outlines the progress we have made on our Let's Get Real sustainability strategy and our goals going forward. You can find the report on the sustainability section of stevemadden.com, and I encourage you all to check it out. Overall, our team continues to consistently execute our strategy for long-term growth and our performance in the third quarter was another proof point. Based on our third quarter results, we are raising our guidance for 2024 revenue and earnings. And looking out further, we remain confident in our ability to drive growth and create value for stakeholders over the long term. With that, I will turn it over to Zine to review our third quarter financial results in more detail and provide our updated outlook for 2024.
Zine Mazouzi: Thanks, Ed, and good morning, everyone. In the third quarter, our consolidated revenue was $624.7 million, a 13% increase compared to the third quarter of 2023. Excluding Almost Famous, consolidated revenue grew 5.5% compared to the same period in the prior year. Our wholesale revenue was $495.7 million, up 14.4% compared to the third quarter of 2023. Excluding Almost Famous, wholesale revenue increased 4.8% compared to the same period in the prior year. Wholesale footwear revenue was $299.3 million, a 2.2% decrease from the comparable period in 2023, with growth in the private label business more than offset by a decline in the branded business. Wholesale accessories and apparel revenue was $196.4 million, up 54.2% to the third quarter in the prior year or 21.6%, excluding Almost Famous, driven by strong growth in our Steve Madden handbag business despite difficult comparisons with the same period last year. In our direct-to-consumer segment, revenue was $125.5 million, a 7.8% increase compared to the third quarter of 2023. As Ed mentioned, performance was stronger in e-commerce than the brick-and-mortar channel. We ended the quarter with 282 company-operated brick-and-mortar retail stores, including 68 outlets, 5 e-commerce websites and 67 company-operated concessions in international markets. Turning to our Licensing segment. Our licensing royalty income was $3.5 million in the quarter compared to $2.9 million in the third quarter of 2023. Consolidated gross margin was 41.6% in the quarter versus 42.1% in the comparable period of 2023 due to the impact of Almost Famous. Excluding Almost Famous, consolidated gross margin increased 50 basis points year-over-year. The freight impact from the supply chain disruption was offset by lower promotional activity. Wholesale gross margin was 35.5% compared to 35.9% in the third quarter of 2023, also due to the impact of Almost Famous. Excluding Almost Famous, wholesale gross margin increased 30 basis points year-over-year. Direct-to-consumer gross margin was 64%, up 30 basis points from the comparable period in 2023, driven by a reduction in promotional activity. Operating expenses as a percentage of revenue were 27.9% compared to 27% in the third quarter of 2023, driven by increased marketing investment, higher incentive compensation and the mix shift within DTC to e-commerce, which has a higher variable expense. Operating income for the quarter was $85.4 million or 13.7% of revenue, up from $83.4 million or 15.1% of revenue in the comparable period in the prior year. The effective tax rate for the quarter was 23.8% compared to 22.8% in the third quarter of 2023. Finally, net income attributable to Steve Madden Limited for the quarter was $64.8 million or $0.91 per diluted share compared to $65.1 million or $0.88 per diluted share in the third quarter of 2023. Moving to the balance sheet. Our financial foundation remained strong. As of September 30, 2024, we had $150.5 million of cash, cash equivalents and short-term investments and no debt. Inventory at the end of the quarter was $268.7 million compared to $205.7 million in the prior year. The majority of the increase in inventory was the result of increased transit times. We built an average of approximately 10 days compared to last year to transport goods from their countries of origin to our warehouses. Our CapEx in the third quarter was $2.4 million. During the third quarter, the company spent $20.2 million on repurchases of its common stock, including shares acquired through the net settlement of employee stock awards, bringing our year-to-date total to $95.8 million. The company's Board of Directors approved a quarterly cash dividend of $0.21 per share. The dividend will be payable on December 27, 2024, to stockholders of record as of the close of business on December 13, 2024. Turning to our outlook. We are raising our annual guidance. We now expect revenue for 2024 to increase 13% to 14% compared to 2023 and we now expect diluted EPS to be in the range of $2.62 to $2.67. Now, I would like to turn the call over to the operator for questions. Krista?
Operator: [Operator Instructions] Thank you. At this time we will conduct a question-and-answer session. [Operator Instructions] Our first question comes from the line of Paul Lejuez of Citi.
Kelly Crago: This is Kelly on for Paul. Just first one, if you could just update us on your China sourcing exposure and sort of what your thought is around how you address that going forward in light of the potential tariffs? And then secondly, can you talk a bit more about what played out in the wholesale footwear channel? I believe you were expecting improvement in the core Steve Madden wholesale footwear business in 3Q versus 2Q. So I guess, how did that trend versus, I believe it was down mid-single digits in 2Q. So, just any color there would be great.
Edward Rosenfeld: Yes. Great. Thanks, Kelly. So first of all, with respect to your first question around China and potential tariff exposure. Look, we have been planning for a potential scenario in which we would have to move goods out of China more quickly. We've worked hard over a multiyear period to develop our factory base and our sourcing capability in alternative countries like Cambodia, Vietnam, Mexico, Brazil, et cetera. And so as of yesterday morning, we are putting that plan into motion and you should expect to see the percentage of goods that we source from China to begin to come down more rapidly going forward. And just to give you some -- you asked about the China exposure. Just to give you some context to hopefully help you frame the issue here. About 2/3 of our overall business is done in -- with U.S. imports. So, U.S. imports account for about 2/3 of our overall business. And of that, we currently source a little bit more than 70% of those goods from China. So in other words, just under half of our current business would be potentially subject to tariffs on Chinese imports. Our goal over the next year is to reduce that percentage of goods that we source from China by approximately 40% to 45% which means that if we're able to achieve that and we think we have the plan to do it, that a year from today, we would be looking at just over 1/4 of our business that would be subject to potential tariffs on Chinese goods. I think the second part of your question was about our wholesale footwear business. And I think you're referring specifically to probably to the branded business. So again, that was down in Q3. We improved sequentially. So, the decline was a little bit smaller than it was in Q2, but we did not get all the way to flat, which was our goal. And look, the dynamics in that channel, the challenging dynamics have been a little stickier than we had hoped. In Q3, I think we were particularly impacted by the fact that some of our key wholesale customers took in their boot deliveries about a month or so later than they did a year ago. Now when we got those boots delivered, we've had quite a lot of success with our boots. I think we've outperformed the competition there. We've seen some strong sell-through and we are getting reorders, but those reorders are hitting Q3 -- excuse me, Q4 and not Q3. And look, overall, we just continue to see a cautious approach from some of our key wholesale customers. But we're going to keep banging away at it. And the good news is that the products that we are getting delivered are seeing sell-throughs that are outpacing the competition.
Kelly Crago: Got it. So on that point, do you expect that wholesale footwear will improve in 4Q versus 3Q?
Edward Rosenfeld: I do.
Operator: [Operator Instructions] Our next question comes from the line of Aubrey Tianello of BNP Paribas.
Aubrey Tianello: I wanted to start out with the updated revenue guidance for 2024. I think previously, you're expecting low to mid-single-digit organic growth in wholesale and then high singles in DTC. Curious how you're thinking about growth between the channels in this new guide for higher revenue.
Edward Rosenfeld: Yes. Thanks, Aubrey. So, we have updated our guidance or raised our revenue guidance in the wholesale channel. So, we're now looking for that business to be up mid-teens overall or about 6% to 7%, excluding Almost Famous. And that increase is really coming from the continued strength that we're seeing in our wholesale accessories and apparel business, but primarily driven by the continued strength in Steve Madden handbags. For DTC, we continue to be at up high singles for the year, so right in line with where we were when we last spoke.
Aubrey Tianello: Okay. Got it. Great. And then yes, just to follow up on that on the handbag business and the really impressive growth we saw this quarter. I think this is the fifth straight quarter now since the handbag business has really inflected and you're lapping a lot harder compares starting this quarter. And I guess just any more color you can share on what's been driving that growth and just how we should think about growth in that business going forward?
Edward Rosenfeld: Yes. We're just really pleased with how the team has executed. Again, this has been a multiyear growth journey. We've seen acceleration recently, but I think this is the -- we're seeing the fruit of a lot of labor over a number of years to develop a really strong product engine there to build a position with our customer, with our consumer in this category and that's paying off. The team is -- to your point, we're now anniversarying some very tough comparisons and still seeing strong growth. The team has done a great job of updating some of our biggest items to, to extend their life and also introducing new silhouettes that are really catching on and also making sure to consistently each season really beyond any kind of new trends in materials and colorways, et cetera. So, just good product execution and we'll keep focusing on it.
Operator: [Operator Instructions] Our next question comes from the line of Dana Telsey of Telsey Advisory Group.
Dana Telsey: As you think about the wholesale business, Ed, and what you're seeing, how does it differ by type, whether it's department stores, off-pricers or mass merchants, what you're seeing in the private label business? And then when you think of the retail business, what are you seeing in outlets and full-price stores? And then just one follow-up.
Edward Rosenfeld: Sure. Look, I think in the wholesale channel, we continue to see that the value-priced retailers are performing more strongly. So, our private label business is outpacing our branded business. And again, our private label business is primarily done with mass merchants. And even within the branded business, we're clearly seeing strength in the off-price channel relative to, say, the department store channel. Although, again, I want to point out our sell-through performance in the department store channel, we feel good about and we think it's outpacing our closest competition. In terms of our own DTC, we've been talking for some time about outlets outperforming full-price stores. That has reversed itself over the last couple of months. And in fact, in recent months, we've seen full-price stores actually outpacing outlets.
Dana Telsey: Got it. And then just on the wholesale footwear category, what are you seeing by styles? Any trends, whether it's sneakers, whether it's boots, any new styles or trends that you see driving demand into holiday season and beyond?
Edward Rosenfeld: I'm really excited about what we're seeing with our tall shaft boots right now. I think that's a category where, again, I think we really have the right items, whether it's engineer boots, stretch boots, et cetera, anything in suede, particularly brown suedes, we're doing great with. And I think it's a category where we believe that we are outperforming the competition. So that's one thing I'm really excited about. We also introduced some new sneakers this fall, a lot in that sort of soccer-inspired space, and those are performing very well. And we're now updating those by taking them up on platforms and those are also seeing good demand from the consumer. So, we feel good about that. And then on the casual and some of the other categories, casuals, et cetera, we called out Mary Janes as being very good. We've also got some loafers that are performing. So, the team has done a really good job with the product on the footwear side and feel good about how we're positioned there.
Operator: [Operator Instructions] Our next question comes from the line of Laura Champine of Loop.
Laura Champine: And thanks for being so specific about the plans you've got to move production out of China. Obviously, you were there for a reason. What's the likely gross margin impact of that move? Or do you think you can just pass on any change in cost to your customers?
Edward Rosenfeld: I think it's really difficult to quantify the potential impact here. And especially, if we are contemplating a new policy where there are significant tariffs on China, that's going to have all sorts of wide-ranging implications, not only in the supply chain, but the overall economy, supply and demand impacts in all these countries where we would be sourcing from. So, I think it's a little too early to speculate about what the impact will be.
Operator: Our next question comes from the line of Janine Stichter of BTIG.
Janine Stichter: Just was hoping you could elaborate a bit on what you saw with the marketing campaign in September. Any learnings there? And then I think you've been making some investments in your stores. Where are we on that? And just any initial reads from those tests?
Edward Rosenfeld: Sure. Yes, we were really excited with the marketing campaign and the results that we saw there. I think it was our best campaign in some time and really resonated with the consumer. And again, drove results. We talked about the lift that we saw in folks searching for us, searching for our brand. We saw a big lift across the United States, and we focused a lot of our off-line activations in the New York area and we saw a much more significant lift in New York. So, we saw that those marketing activities really worked. It also, of course, drove revenue. That's critically important. And we got some really great data from some of our wholesale -- excuse me, some of our media partners, YouTube, for example, on the lift that we saw in awareness, consideration, et cetera, from folks that saw the ad. So, it really worked. We felt very good about it. And the nice thing about doing this top-of-funnel marketing is we saw that it also made our performance marketing dollars work harder and we got one and we saw better returns there. So overall, a successful campaign and we'll look to do more of that going forward. In terms of the investments in stores, was that the second part of the question? Is that right? Yes. Those are ongoing. I know we've talked about Times Square on this call before. That one is going to open right before Black Friday. So, we're under construction there right now, and we're super excited to get that flagship store open and we'll continue to refresh the fleet going forward.
Operator: At this time, I'm showing no further questions. I would now like to turn the call back over to Ed Rosenfeld for closing remarks.
Edward Rosenfeld: Great. Well, thanks, everybody, for joining us today. Enjoy the rest of your day. Have a great holiday season and we will speak to you soon.
Operator: Thank you for your participation in today's conference. This concludes the program. You may now disconnect.